Operator: Good day, ladies and gentlemen, and welcome to the full year 2012 Enersis SA ADS Earnings Conference Call. My name is Susan, and I’ll be your operator for today. During this conference call, we make statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements could include statements regarding the intent, belief or current expectations of Enersis and its management with respect to, among other things, Enersis' business plans, Enersis' cost reduction plans, trends affecting Enersis' financial condition or results of operations including market trends in the electricity sector in Chile or elsewhere, the supervision and regulation of the electricity sector in Chile or elsewhere, and the future effect of any changes in the laws and regulations applicable to Enersis or its affiliates. Such forward-looking statements reflect only our current expectations, are not guarantees of future performance and involve risks and uncertainties. Actual results may differ materially from those anticipated in the forward-looking statements such as a result of various factors. These factors include a decline in the equity capital markets of the United States or Chile, and increase in the market rates of interest in the United States or elsewhere, adverse decisions by government regulators in Chile or elsewhere, and other risk factors described in Enersis' Annual Report on Form 20-F including under risk factors. You may access our 20-F on the SEC's website, www.sec.gov. Readers are cautioned not to place undue reliance on those forward-looking statements which speak only as their date. Enersis undertakes no obligation to update these forward-looking statements or to disclose any development as a result of which these forward-looking statements become inaccurate. I would now like to turn the presentation over to Mr. Eduardo Escaffi, Enersis' CFO. Please proceed.
Eduardo Escaffi J: Thank you. Good morning to everyone and thank you for participating today in our conference call for reviewing the performance of the Enersis group for the year 2012 in comparison to the year 2011. my name is Eduardo Escaffi, Chief Financial Officer of Enersis and with me today is Ms. Denise Labarca, Head of Investor Relations. Remember that our conference call will be conducted following a presentation that has already been uploaded to our website and that you can also watch it in our webcast. As customary, we will take your questions at the end of this conference call. Additionally, our investor relations team will be available to assist you with detailed information after this call. As you all know, our shareholders approved a capital increase of approximately 16.4 billion common shares in shareholders meeting on December 20, 2012. As publishing firm at the meeting, some of these shares maybe ultimately registered in the United States Securities and Exchange Commission, the SEC and offered in the international markets in the form of American Depositary shares. International shareholders also have the right to participate in the preemptive rights process by exercising their rights and either buying or selling such rights. As a result of very tight United States Securities law and regulations, the company is not allowed to make public anything about this process that have not made public before with the SEC. In brief, we can now remind you that. One, we are now working on this transaction though we can give no dates. The subscription price for the new shares was fixed at 173 pesos per share or 8650 pesos per ADS giving that there are 50 common share per ADS. in today’s current exchange rate that’s a $18.37 per ADS. Shareholders will need approximately two shares for every share that they want to exercise during the preemptive rights process. Options to exercise those rights will be stated during the Preemptive Right period. The use of cash proceeds has been largely disclosed in public filings and it entails the potential purchase of minority uptakes in companies that we now own and in addition the potential acquisition of new shares in companies in the region where we now operate. For obvious reasons, we cannot be more specific than that. Thank you for your understanding. With this, let's move to the slide number two, where we can see the highlights of the big year. As a consequence of the long terms drought expense in Chile, lower operating results in Argentina and unavailability until very recently of our Chilean power plant Bocamina II, our consolidated EBITDA decreased 7%. The decrease in EBITDA is mostly attributable to 5% higher energy purchases, a 19% increase in transport costs and to a lesser extent 5% in higher fuel consumption. Generation and transmission which in the aggregate explained 52% however EBITDA decreased 14% attributable to higher energy purchases, fuel consumption and transport cost mainly in Chile. This decrease came about despite the improvement in the contribution made by Empresa our Columbian generation subsidiary. The above-mentioned was partially offset by the distribution segment who's EBITDA increased 2% and accounted 48% of our consolidated EBITDA primarily explained by higher contributions made from our subsidiaries located in Columbia, Chile and Peru. Let's take a look over slide number three. In all five countries of operations, economic activity continues growing at a solid pace, positively impacting the demand for electricity. This growth combined with a low per capita consumption and a positive electricity explained the 4.5 increase in physical energy demand. Some specific reasons behind this growth in electricity demand are related to new real estate developments, new factories located in our concession areas, increased commercial activity, higher residential consumption, as well as demographic growth within our concession areas. In relation to the Generation segment, the very positive issue was the significant growth recorded by Empresa in Colombia 29%, however, this positive outcome could not offset the important decrease experienced in Chile, 42% and Argentina, 43%. In our Distribution segment, the highest contribution is made by our subsidiaries located in Columbia and Chile. In this respect, let me remind you that Coelce and Chilectra in the aggregate account for more than 30% of our total distribution client. Now move to the slide number four. Regarding our key drivers, let me start making some comments on the distribution business. During this year, the average demand for the five countries where we operate recorded a solid 4.5% growth confirming the sustained and solid trend derived from the increasing levels of economic growth in South America. In Chile, as you can see in this slide, Chilean prices fell by an average of 2.2% compared to last year. However, in relation to the market, it’s necessary to highlight that we are still experiencing the adverse effects of a third consecutive very dry year, something never seen before with such intensity in our historical series. This together with several delays in the entrance of new and more efficient thermal capacity has led to generate with higher production cost, facilities which operates mainly with fuels, and to the purchase of some electricity in the spot market. In the case of Brazil, due to some prices of the South East, Middle West sub-system, hydro conditions during the last quarter have even worsened after two typical wet years. Lately, very low reservoir levels have caused the spot prices to exceed the range of 450 reais per megawatt hour, a very material fourfold increase compared to 2011. Nevertheless, contributions from Parnaiba River which is relevant for our hydroelectric power plant Cachoeira, have increased allowing a higher dispatch level. In Peru, spot prices increased over 28% during the period. The expansion of thermal generation in order to satisfy the search in demand more than offset the increase in hydro generation. Finally, in Colombia, spot prices increased more than 58%. By the end of the fourth quarter it was appreciated and attenuation of La Nina effect improving the hydro conditions well above the historical average levels observed during the last few years. After this brief summary, please go to slide number 5 in order to analyze the main changes in results. Revenues increased 1% mainly attributable to higher physical energy sales derived from increased electricity demand and also to an increase in other operating revenues. This increase in revenues; however, was not enough to fully offset a 5% increase in operating costs. In fact, we registered an important increase in operating costs mainly due to the need of generating more thermal to replace the lower availability of hydroelectric generation. As a result, gross margin dropped 5% driven by 5% higher energies purchases, 5% increase fuel purchases and 19% high transportation costs due to inefficiencies that arise from bottlenecks in the Chilean transmission grid. Other fixed operating expenses decreased 6%, a reduction of more than 30 billion Chilean pesos while payroll expenses increased by 10%. These variations explained the 7% lower EBITDA mentioned before. Financial income registered a lower loss of 20,390 million Chilean pesos. This 9.4% better result mainly due to higher financial revenues, low interest expenses and lower losses from monetary adjustments. All the previous cost differentiations, more than offset losses related to exchange rate variations. All in all, net income increased 2% from 873 billion Chilean pesos to 894 billion pesos. Whereas, in net income attributable to controlling company remained almost flat increasing 0.5%. let's analyze slide number six. Gross margin decreased 4.5%, fully explained by 11% reduction in the contribution from our Generation business, partially offset by 82% increase in our Distribution business segment. Decrease in generation is mostly explained by lower sales in Chile and Argentina, higher fuel cost in Chile, Columbia and Peru and higher cost of energy purchases in Columbia, Peru and Chile. The improved contribution from the Distribution business was explained by an important increase of demand in every concession area. However, this positive growth was partially offset by the conversion affect from Brazilian reais into Chilean pesos as well as the tariff revision carried out in Coelce from April 2011. It is the kind of circumstances where the benefits of being properly diversified paid off. The positive Generation segment result in Columbia and Peru plus the good distribution results in Columbia, Chile and Peru helped to mitigate the aforementioned negative effect. A detailed analysis can be seen in slide number six explaining difference in gross margin by business, by country and by-country. By the way please remember that this presentation will be available for you all in our website. Now let's move to slide number seven where we can cover in detail the main changes in EBITDA. Enersis consolidated EBITDA decreased 7% mainly due to an important 14% of lower EBITDA coming from Generation, variation that was not compensated by the 2% contribution increased from our distribution business. As seen in this slide, the unit margin decreased 14% in Generation and 3% in distribution. EBITDA in Argentina kept its decreasing tendencies evident along the year. The negative result impacted both generation and distribution business. in generation this negative result is mainly the consequence of lower average sales prices, lower fuel expenses in Cachoeira and better results coming from high level availability in Chocon were not enough to revert this situation. Distribution, frozen tariffs affecting us since 2002 on higher payroll expenses derived from union agreement kept EBITDA negative. It is important to remind you that our debt agreement at Enersis and in this [inaudible] level do not have default, cross default, bankruptcy or insolvency clauses linked to debt contract of our non-Chilean subsidiaries. We are therefore reinforced against the high risk of our Argentine debt. EBITDA in Brazil showed a drop in both business segments. In Coelce the company which more contributed to this fall, this negative result was also explained by the appreciation of the Brazilian real against the Chilean peso, which impacted result in 14%. In Generation and Transmission it is important to mention that the higher generation and sales volume in Fortaleza and Cachoeira were not able to offset the higher energy purchase cost that affected Fortaleza with prices that more than doubled. Cien showed a decrease in its margin and EBITDA due to a reversal of a 2011 provision. Isolating this one time effect the company's situation improved since the recognition of Cien as a regulatory asset since April 2011. In distribution the Brazilian companies are still the most important growth business and maintain their robust energy demand and 10% increase in the case of Coelce and 6% for Ampla. Just remember that the annual tariff adjustment approved by ENL in March 2012 gave Ampla a 7% increase, in Coelce the situation is the opposite, with a further cycle of tariff revisions decreasing the tariff to fine customers by an average of 6.8% in 2012. Our excellent growth levels in the region coupled within our efficiency and quality of service recognized by regulator for the four consecutive years as the best Brazilian distribution company has it made for Coelce to achieve a rapid recovery for its margins after the new work is established. In Chile, the EBITDA decreased mainly explained by the aforementioned effect in Generation. This was partially compensated by better performance of our subsidiary Chilectra and attributable to an increase and abundance mix of clients as well as higher physical sales. In Colombia, confirming the benefits of a strong diversification both business segment registered outstanding improvements in EBITDA. This combined effect led to an increase of almost 28%. Additionally, we remind you that the non-recurring negative impact coming from the one-time equity tax recorded within operating expenses and fully booked during the first quarter of 2011. In Generation, we registered 16% higher revenues in connection with 8% higher physical energy sales at better average sales price. hydrological conditions allowed Endesa to continue evidencing a 9% increase in hydraulic generation. In Distribution, EBITDA improved 26% because of higher revenues on sales related to 4% increase in Codensa electricity demand. EBITDA in Peru remained almost flat due to the negative impact on both businesses originated by higher payroll expenses in 2012 due to a non-recurring effect persisted in June 2011 as a consequence of accounting conversion through IFRS, which led to a reclassification of the provision made for worker's profit participation, creating in that period a one-time benefit in personnel expenses. This one-time effect didn’t affect our fundamentals in generation, where we registered 18% increase in revenues, 2% growth in fiscal energy sales and better average sales price properly captured by an adequate commercial policy. Distribution, we maintained a strong pace with an increase of 4% in Edelnor's demand and higher average sales prices, reflecting 17% better revenues from electricity sales. Now, let's move to the slide number eight. In this slide, I would like to highlight some key issues of our sales strategy applied to our Generation business. The commercial policy has been designed to minimize the hydrological volatility risk by means of contracting an adequate volume of energy according to market conditions and hydro availability and in relation to the requirements of our regulated and non-regulated clients. Unfortunately, the delay of the startup of Bocamina II implies less efficient thermal coal-fired capacity as necessary to contain cost in our Chilean metrics. In this respect, I am pleased to remember you that after many delays, our 350 megawatt capacity coal-fired power plant Bocamina II went on stream at the end of October. We manage our fuel purchases under a global strategic optimization thereby helping to contain price increases and to reduce costs. We continue moving towards a more efficient contracting level in order to optimize margins and risks. In 2012, we constructed about 70% of our generation capacity and for this year we expect to decrease down to 65% of expected generation. Moving to the medium to long-term, let us notice that 33% of our future generation has been committed through contracts that go beyond five years and 22% have been commercialized through contracts with a term of over 10 years. The table shown in the slide presents the energy auction by regulated clients and free customers contract and the average price prevailing for those agreements. Now let’s move to slide number nine. As seen in this page, we try to balance our sales in the region depending on the effective generation conditions and structure of our portfolio in each case. In the particular circumstances of Argentina, most of our sales are carried out in the spot market due to regulatory constraints and somewhat abnormal market conditions. The goal is to diminish as much as possible, the uncertainties arising from the volatility of short-term prices. In the slide, you may note that the relevant data for each country, with the disclosure of sales per market. Now, please let’s move to slide number 10. As part of the efforts carried out to improve overall efficiency and now I have mentioned in our last call, we would like to include the follow-up on two important initiatives developed at ENEL and Endesa Spain, the Synergy and Zenith plans. Both plans were considered under an ambitious goal of capturing synergy opportunities in our Generation and Distribution business. The scope has been also extended to our operating expenses including, goals for energy losses, centralized criteria procurement, measures to optimize hydro generation capacity, maintenance improvement in generation, better insurance programs and many other corporate actions addressed to achieve a more efficient use of resources. The Synergy plan launched in 2008 was considered as multidimensional plan focused on optimization opportunities in the Distribution and Generation businesses, together with IT, among others, not only reducing fixed cost, but also improving margins and optimizing CapEx. On the other hand, the Zenith plan was developed to achieve additional savings in certain fixed cost in both the Generation and Distribution businesses. At the ENEL's level we are glad to communicate that we have achieved 128% of the objectives for 2012, namely 274 million euros as a whole, 185 million euros corresponding to the Synergy plan and 89 million euros to the Zenith plan which were initially set at 144 million euros and 69 million euros, respectively. Now let’s move to slide number 11. As you may be aware regulation is a key consideration for the development of our activities, especially in the Distribution business. I would like to mention those relevant factors for Enersis in the region. Starting with Chile on December 3rd, the ministers committee finally approved the environmental permit for power plant, coal power plant which allowed progress in the engineering studies and the (inaudible) studies of the interconnecting high voltage line which is currently at the stage of preparation and would be submitted on April this year. Concerning Chilectra tariff review on September 3, Enersis sent to the regulator the tariff revision report, thus closing the last stage of the process. The draft decree is now under review by the General Controller of the Republic. This final tariff will have reductive effects since November 4 2012 and will be in force until the next revision in November 2016. By mid-December Brazilian government approved a provisional mission called the MP 579 seeking to improve the industry competitiveness, by means of a reduction in power prices and a new scheme for the renewal of concessions expiring within 2015. I must stress that none of our concessions in Brazil expire before 2020, which means no impact on Enersis affiliates. On November 27, derivating value for Argentinean electric sector, the (inaudible) issued a resolution allowing a result to increase tariff by a fixed amount. These new charges will be collected and transferred by the distribution companies through a trust fund and it's already employed to financing structure works in the corrective maintenance or facilities and transmissions plan. These new assets would eventually end up being included in the balance sheet of these companies. To end with this month in the state of Canada and the government and the commissioner entered into an agreement allowing the former to capture additional revenues for a seven year period. This amount will afford to engage significant investment to improve same 12% of availability. Please go to the slide number 12. The next slide shows how the fundamentals of our business continues to develop with an ample room to keep growing and to invest in projects, that not only allow us to increase our installed capacity and the number of clients, but warranty quality of service and reliability to our customers and long term profitability to our shareholders. As was mentioned, the Distribution business increased its client base by almost 36,0000 new customers and a higher per capital consumption related to an increased economic environment. This has been the fundamental pillar to our continuous growth. Regarding our CapEx program in Generation during 2012, our coal plant in Southern Chile for Bocamina II has currently seized operation and will continue with the construction works in El Quimbo to Columbia a 400 megawatt hydro project plant. Please now go to the slide number 13. In addition to the aforementioned projects, we have several potential projects in the pipelines. Some of them are in the environmental approval procedure. And others are in the development phase. The Indian region is where we think we should have our best opportunity for developing and operating new efficient and profitable assets based on their sustained growth and legal and regulatory stability. Slide number 15, we can appreciate the financial health of our group which has remained solvent and liquid enough to withstand potential disruptions in the capital market. We have been ratified by rating agencies who have affirmed our positive ratings not only in Enersis but also in some of our subsidiaries throughout South America. Our  debt maturities given has been managed to maintain a payment capacity well aligned with our cash generation. As seen in our financial statement our interest coverage indicates that we cover more than four times our interest payments through our EBITDA. Additionally and considering the volatility of key variables in the capital markets, we continue to contract hedge derivatives so as to better manage interest and exchange rates increase. Now in order to summarize the key drivers of our annual results, let me guide you through slide number 16. Demand for electricity in the five countries where we operate, continues growing at the fastest pace when we compare to more developed countries and no major risk envisioned in the foreseeable future except for the unclear situation in Argentina. For the current year we have high expectations. looking forward we see a slight improvement in volume conditions in Chile. This year's end we'll be fairly comparable to 2012 as in both period we book 12 months of CIEN's new permitted annual revenues. We would benefit from a projected electricity demand growth over 5% on a weighted average basis. We would add about 400,000 new clients. We expect the approval of some of our sounder generation projects. Our diversified business on country's portfolio reflected during the last (inaudible) improvements have helped to mitigate full generation results. We will benefit from the operation of our efficient thermal capacity and also from lower fuel cost. Some final words. Although the region continues growing, global concerns regarding the future of developed economies have impacted the world stock market placing downward pressure on our stock performance. Nonetheless, research analysts who cover Enersis continue to maintain a positive view about the fundamentals of our company as seen during this call. A detailed analysis of all the information summarized here can be found in our press release already available in our webpage together with full financial statement. Additionally if you have a  specific questions regarding the results of our business, please contact our Investor Relations department. We will be very glad to assist you. I ask the operator for questions. Thank you. Operator?
Operator: (Operator Instructions). The first question comes from the line of (inaudible). Please proceed.
Unidentified Analyst: I have a question related to (inaudible) could you give us more detail about the hydro conditions in Cachoeira and I would like to know the availability of natural gas for electric Fortaleza. And the third question is related to the dividend from Brazil. why did last year, (inaudible) pay dividend. Thank you.
Eduardo Escaffi J: First, let's to being with the gas. We have a contract with (inaudible) the supply of gas and we have no problems with that. if they can’t supply the gas, they have to supply the energy or to compensate the cost, then we don’t have any problems with that. In terms of the low level of the hydrology, as I mentioned during the conference, for Cachoeira, it is the river that feeds the Cachoeira, it is performing very well, then we are not having problems there, then we don’t foresee problems there. the higher prices of the old system are related to other reservoirs areas. And in terms of the dividends, well they are going to be paid in due time. I don’t remember exactly the date, but we have the schedule timings for the dividends in due time and I can send it to you afterwards but there is no indenture on the dividend policy.
Unidentified Analyst: And Eduardo, what happen if Petrobras cannot give (inaudible) Fortaleza or cannot provide the natural gas. What happen in this case?
Eduardo Escaffi J: They have to indemnify them. That’s very clear in the contract. That contract was signed more than 10 years ago. It’s a contract that was signed with the IFC and it is a part of a very large agreement.
Unidentified Analyst: So in this case Fortaleza, will have to buy the electricity by the spot market and then send a bill to Petrobras, right?
Eduardo Escaffi J: Sort of, yes, yes. They have (multiple speakers). It’s a very simple contract. They have to indemnify us.
Operator: (Operator Instructions) And we do have another question from the line of (inaudible). Please proceed.
Unidentified Analyst: Last question please. Could you repeat what was the result of the tariff process in Chilectra?
Eduardo Escaffi J: Right. Well, yes the tariff process in Chilectra, pretty much the tariff, we don’t have it already set because they have to finalize the decree, but we don’t expect a big surprise in the process. It would be very similar to the last processing day of the (inaudible) reduction. it was going to be less than 10% which implies a very modest reduction of more or less 2%. that also was supposed to be published in November. But, today they its still not defined. But as you know it depends on they are doing currently the revision with the other distribution companies in order to see if the industry is going to have an average the return on assets within the range, that is placed in the law. Then that is why we don’t have it yet. But as you very well know, Rodrigo, this for us is business as usual.
Operator: The next question comes from the line of (inaudible) AGS investments. Please proceed.
Unidentified Analyst: I just have a little question on your Generation side of the business that contributes more than 50% of your EBITDA in Chilean. I just want some more clarity on how the company is positioned for 2013 in especially given the hydrological conditions that have been unfavorable for three years and now you're expecting some potential changes. How is the company thinking about the Generation business in Chile?
Eduardo Escaffi J: Right, first of all about the (technical difficulty) we don’t know exactly what's going to happen. And that's why our (technical difficulty) limits the risks and that's why as I mentioned before, we (technical difficulty) more than 70% of Generation capacity. And also, we have thermal capacity in place in order to comply with the contract developmental stuff. In that sense, last year it wasn't precisely the dry condition, the lack of the (technical difficulty) power plant that was scheduled to be in operation from almost two years ago and that was delayed by both the earthquake that affected Chile in south Montana, and from the stuff we had with the constructor. And that problem, we are not going to have this year because currently the coal fire power plant is not working. Let me remind you that the margin of cost for that company is frankly speaking $50 per megawatt hours. Then that will provide after very ample room for lowering cost and the other thing is that we can provide also energy for our country and that we are going to (technical difficulty) and the contracts in the LNG contract that we have in long-term contracts. Then, the one thing is the hydrology, that as I mentioned before is managed through the commercial policy and the other is in the manage of the, you have the leased cost technology available and that's through our efficient power plant.
Unidentified Analyst: Sure and now do you employ any hedging programs?
Eduardo Escaffi J: Well that's the hedging program. the hedging program is a commercial policy.
Unidentified Analyst: I see, and on a different note on the rights issue. there was a news blurb that spoke about capital raise in the ADR market. was that part of the initial plan or was that something that was newly initiated or is that more a question for the Italians?
Eduardo Escaffi J: Well, as I've mentioned before, at the beginning of the presentation, since this is rights issue that some of our shares have, must be or are going to be registered in the United States and we have to follow various tricks of the rules in the SEC, then we have a few things that we can say more than the ones that are already in public. but since this is a normal capital increase the shares has to be offered to all our shareholders and 13% of our shareholders currently are in the firm of the ADS program in the American Stock Exchange, then it is natural that if our shareholders, current shareholders want to participate, they are going to be offered. Then this capital increase always considered all the international and local shareholders. All of our shareholders are equal and all of them have equal rights.
Unidentified analyst: But my question was, was this initiative to raise assets in the American market initially thought about or was that a new initiation?
Eduardo Escaffi J: This capital increase is part of a broader program. The idea is that our largest shareholder in the system has some assets in the region that are part of the same assets that we have and currently we own and manage. for instance we at Enersis own 22% of those 2.2 something percent of Colenca, and Spain owns 26% of Colenca, both together have the majority of the political right, and that's why Enersis consolidates that company. and among other stakes in other businesses in Latin America, 13 of other companies, and Spain decided to incorporate those assets into Enersis are failing to enforce Enersis as the sole bagel with all the financial expense, are the sole bagel for development here in this region. Since this region, as I mentioned before is the region for development with a high growth. Then, the capital increase is that in this Spain since it has a 60% of the shares is going to contribute those assets as an in kind contribution in the average shareholders, the 40% additional shareholders are going to contribute in cash and that’s why we are going to have a capital increase in the region of almost $6 billion, 3.6…
Unidentified Analyst: Is the asset injection by the Enersis Spain? I understand that part, I guess my question was simple was, the equity raise, my understanding was going to be in local market, in the Chilean local market, only.
Eduardo Escaffi J: No, no. I don’t know. It’s for all the shareholders, the actual shareholders had their right to participate. If they don’t want, they can sell their right. If it happens that all the American shareholders sell their rights to Chilean industrials that could happen at the very end, it could be very unlikely but at the very end only Chilean shareholders or Chilean investors could up contributing to the cash portion of the capital increase but that could be a very unlikely event.
Operator: There are no more questions at this time.
Eduardo Escaffi J: Well, since that there are no more questions. I thank you very much for your attention and good bye and happy holidays for those that are (inaudible). Thank bye.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.